Operator: Good morning, and welcome to the Cabot Oil & Gas Corporation Third Quarter 2017 Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note, this event is being recorded. I would now like to turn the conference over to Dan Dinges, Chairman, President and CEO. Please go ahead.
Dan O. Dinges - Cabot Oil & Gas Corp.: Thank you, Drew, and good morning to all. Thank you for joining us today for Cabot's third quarter 2017 earnings call. With me today are the members of the Cabot's executive team that are usually here. Before we get started, I'd like to highlight that on this call we will make forward-looking statements based on current expectations. Also, some of our comments may refer to non-GAAP financial measures, forward-looking statements, and other disclaimers as well as reconciliations to the most directly comparable GAAP financial measures are provided in this morning's earnings release. For third quarter, Cabot demonstrated its continued focus on disciplined capital allocation by generating positive free cash flow for the sixth consecutive quarter, while delivering 12% equivalent production growth. Operating cash flow increased by 79% year-over-year, driven by our production growth, coupled with a 60% increase in cash margins. While natural gas price realizations increased 16% year-over-year, it should come as no surprise that the third quarter realizations were weaker sequentially due to lower NYMEX price and wider differentials. The widening of differentials in the third quarter has been seen in Appalachia over the last few years and highlights the need for the long-anticipated in-service of new long-haul infrastructure and in-basin demand projects. Our expectation is that our price realizations will only improve moving forward, giving the in-service of numerous infrastructure projects over the next few quarters. Year-to-date, we have generated approximately $125 million of free cash flow and received over $30 million of proceeds from non-core asset sales, which have allowed us to return almost $125 million of capital to shareholders year-to-date via dividends and share repurchases, and to reduce our net debt position, further improving our strong balance sheet. As it relates to share repurchases, while we did not buy back shares during the third quarter, I would highlight that we remain optimistic on this front and take advantage of disconnects in the market like the recent 9% selloff we experienced during our recent trading blackout period, which did begin after the end of the third quarter. In this morning's release, we reaffirmed our capital guidance and tightened our production guidance range for the year, while leaving the midpoint unchanged. Where we ended up in the production – where we end up in the production guidance range will ultimately be dependent on in-basin pricing during the fourth quarter, as Cabot has recently been electing curtail a small portion of its production when pricing is value destructive. As we have reiterated many times before, while production is a byproduct of our capital allocation to high-return projects, we are not chasing top-line production growth for the sake of it and have absolutely no problem holding back volumes if the prices do not warrant moving additional gas at certain times. However, I'm not overly concerned about the recent price dynamics, given that over the last few years, we have seen some of the widest differentials during the month of October, which has subsequently been followed by a significant improvement in basis. As most of you are aware, Atlantic Sunrise received its final Notice to Proceed during the quarter, with pipeline and compression station construction beginning in September. This is a milestone we've been waiting for since our first announcement and our involvement in the project back in February 2014 and represents a key inflection point for the northeast Pennsylvania natural gas market and for Cabot. We continue to target a mid-2018 in-service for this project, on which we will be selling approximately 1 Bcf of gas to new markets. Tennessee Gas Pipeline recently reaffirmed that its Orion Project is ahead of schedule and is anticipated to be in-service as early as December 2017. Additionally, the two power plant projects that we are sole suppliers to, Moxie Freedom and Lackawanna Energy Center, are currently under construction and on schedule for their early September – excuse me, summer 2018 in-service. As it relates to Constitution Pipeline, the partners of this project recently submitted a petition for a declaratory order with the FERC, demonstrating that the New York DEC exceeded its statutory timeframe to grant or deny the Section 401 certification for the project. The Clean Water Act specifies that if a state agency fails or refuses to act on a request for certification under Section 401 within a reasonable period of time, the certification requirement shall be waived. It is our belief that the New York DEC clearly failed to act on Constitution's application for a Section 401 Water Quality Certification within a reasonable period of time. If the FERC grants Constitution's petition, Constitution will promptly seek a Clean Water Act Section 404 Permit from the U.S. Army Corps of Engineers. We continue to believe this is a project that New York needs to achieve its energy goal, which will require a mix of resources, including natural gas, in order to keep rates low and supply reliable for power generation for the state. In line with state energy goals, Constitution will lower emissions by enabling customers switch from heating oil to cleaner burning natural gas. In line with our conservative forecast, we currently exclude the benefit of our capacity on Constitution from our five-year plan; however, I certainly would not count this project out. In this morning's release, we initiated our official 2018 daily production growth guidance with a range at 15% to 20%, which implies a 17% to 22% pro forma for West Virginia divestiture. This production growth is based on capital budget range of $1.025 billion to $1.150 billion, consisting of $750 million to $850 million in the Marcellus, $125 million to $150 million in the Eagle Ford, $75 million in our exploration play, and $75 million for pipeline investments in the Atlantic Sunrise and other corporate capital expenditures. We plan to operate three rigs and utilize two completion crews in the Marcellus Shale during 2018. Our pace of completion activity will ultimately dictate where we land within the Marcellus capital range and will be dependent upon market conditions during the year. While we could certainly grow faster than our current guidance, our focus is on maximizing margins, returns and free cash flow, and we firmly believe the flexibility in this current plan allows us to make the most prudent capital allocation decisions throughout the year in response to market dynamics. Capital range for the Marcellus in 2018 will position Cabot for Marcellus production growth of 27% to 33% in 2019. Based on current market indications for natural gas prices, we expect our natural gas price realizations to average $0.45 to $0.50 below NYMEX for the full year of 2018, a significant improvement over 2017 levels. In the Eagle Ford, we plan to operate one rig for the full year and utilize one completion crew for a portion of the year. Our plan allows for us to maintain all core acreage, provide for single-digit growth in oil production, and generate positive free cash flow at the current strip. Our capital range for the Eagle Ford will depend on our outlook for oil price with a focus on generating free cash flow from this asset as opposed of growth for the sake of growth. We plan to spend $75 million during the first half of 2018 continuing to test our two new exploratory areas to better understand if they have the attributes we are looking for in order to compete for our capital internally. We would like to be in a position by mid-2018 or sooner to make a decision on whether we move forward with continued activity on these areas, based on our results from the first half of the year. As we have stated before, if we do ultimately have success in these areas, we will look to divest assets, to fund any near-term deficit spends in these areas that would need to occur before the assets become self-funding and free cash flow positive, similar to what we did in the Marcellus years ago. And for example, on the cash flow raise, while fairly small in nature, we are currently marketing our remaining Haynesville properties as we continue to high-grade our portfolio. Based on current strip prices, our 2018 program would deliver the following highlights: double-digit corporate-wide returns, positive free cash flow of over $200 million at midpoint of the capital budget range, a deleveraging of the balance sheet to below 1 times debt to EBITDAX, production growth of 15% to 20%, and positions the company for significant growth in free cash flow and production in 2019 and 2020, as we highlighted in the three-year Marcellus outlook we included in this morning's release. Further on our three-year outlook, the Marcellus is expected to deliver a three-year Marcellus production CAGR of 20-plus percent and a three-year Marcellus discretionary cash flow CAGR of 25-plus percent, assuming current strip prices. Based on this plan, Cabot's Marcellus asset would generate approximately $2.5 billion of cumulative pre-tax free cash flow from 2018 to 2020, while averaging between $750 million to $850 million of annual Marcellus capital expenditures over this period. This program only assumes we have the benefit of the infrastructure that is currently under construction, including the Atlantic Sunrise and the other two power plant projects that we have mentioned. Obviously, any incremental capacity on long-term sales could provide additional upside. Given its level of free cash flow generation, we expect our debt adjusted per share growth metric to look even better than our absolute growth numbers. I would also highlight that based on our internal estimates as well as consensus estimates for 2019, this plan would generate a best-in-class free cash flow yield compared to the rest of the E&P companies in the S&P 500. While it's premature at this point to outline a specific plan for allocation of free cash flow, we fully expect to return an increasing amount of capital to shareholders via dividend growth and share repurchases as well as evaluate the potential reduction of debt as near-term maturities come due. Our longer-term capital allocation to assets outside of the Marcellus will ultimately be dependent on our outlook for oil prices and the outcome of our ongoing exploration testing. However, as I mentioned earlier, we are focused on delivering a self-funded program in the Eagle Ford and funding any initial deficit spends in our exploration areas with asset sales. In summary, we have a three-year plan that provides double-digit returns-focused per share growth, while generating significant free cash flow at the current strip, and delivers double-digit corporate-wide returns that stand out not only among energy companies, but also across the broad market, which certainly makes Cabot an attractive investment, regardless of anybody's view on the energy space. Drew, with that, I'll be happy to answer any questions.
Operator: We will now begin the question-and-answer session. The first question comes from Bob Morris of Citi. Please go ahead.
Robert Scott Morris - Citigroup Global Markets, Inc. (Broker): Thank you, and nice quarter, Dan. My first question is...
Dan O. Dinges - Cabot Oil & Gas Corp.: Thanks, Bob.
Robert Scott Morris - Citigroup Global Markets, Inc. (Broker): ...when you talk about the curtailments on an uneconomic basis, what net-back price becomes uneconomic? Is it $2.50, $2, or how do you think about that and how much could you curtail, that everything then is getting that price?
Dan O. Dinges - Cabot Oil & Gas Corp.: Well, we have an economic price that covers our cost of capital close to a $1. But we have seen, in some of the gas we move in the daily market, which is not a large percentage of our gas, but we move gas in the daily market, and that's some of the gas that we remove. And we saw gas that was below $1 on the realizations over several weekends and periods of time that were low-demand periods, and that is the gas volumes that we'd like to not move.
Robert Scott Morris - Citigroup Global Markets, Inc. (Broker): Okay, that's good. And my second question, $2.5 billion is a lot of free cash flow. You've got options between, you can buy back up to 20% of your stock, you can pay a meaningful or S&P type dividend on the shares. How do you think about those two options in reallocating or returning that capital to the shareholder? And obviously, the share buybacks depend on the stock price, but at close to current levels, how do you think about the options between share buybacks and dividend increase?
Dan O. Dinges - Cabot Oil & Gas Corp.: Well, we recently, as you're aware, increased our dividend 150%. We also bought back a nice tranche of shares in the second quarter. We do have an authorization still on the shelf to buy back shares. When you compare those two, we will, I think, look at both of them as an avenue to give back money to shareholders. On the dividend, we are moving towards a much more certainty attached to our free cash flow generation, now that we have the approval of infrastructure going in the ground. With that infrastructure in the ground and gas moving through additional outlets and also seeing the basis compress in the – and on the three pipes that we currently sell into, we're going to have a significant level of confidence of an ongoing continuous improvement in the realizations. And with that, that gives us a little bit more confidence on just the dividend side of our give-back. In the meantime, however, though, we have had, as you are aware, $0.5 billion or so of cash on our balance sheet, and we have continued to rationalize our portfolio and we looked at the buybacks with some of that cash. So, to say it a little bit more succinctly, once we get the infrastructure in place, we know we're going to be generating a significant level of free cash. And with that, we'll then make decisions between the share buybacks and the dividends and look at that as prudently as we can.
Robert Scott Morris - Citigroup Global Markets, Inc. (Broker): All right. Either way, it's an enviable position to be in. Congratulations. Thanks.
Dan O. Dinges - Cabot Oil & Gas Corp.: Thanks, Bob.
Operator: The next question comes from Michael Glick of JPMorgan. Please go ahead.
Michael A. Glick - JPMorgan Securities LLC: Hey, guys. Not to beat a...
Dan O. Dinges - Cabot Oil & Gas Corp.: Hi, Michael.
Michael A. Glick - JPMorgan Securities LLC: ...dead horse here, but just have one question really on the stock buyback. I mean, on our model, which appears to be in the right ZIP code, based on the outlook you provided, you're trading at a 7%, or actually probably 6% free cash flow yield after today's recent move. I mean, there seem few similar opportunities when we think about the broader non-E&P, of course, market. Just in that context, how do you think about buybacks?
Dan O. Dinges - Cabot Oil & Gas Corp.: Well – and I'd like to hear your comment also, Michael. We look at that as a unique position for an E&P company. Free cash flow yield of not only that, but we think we can increase that free cash flow yield. If you compare that free cash flow yield to other industries out there and you look at our multiples, I would like to see what the Street thinks the value is of an E&P company that does deliver that type of yield. And if we get the reaction from the Street and they value that free cash flow yield in a way that we think merits the valuation per share of Cabot stock, then buying back shares is not going to be as big of interest to us because we're going to see it in stock price appreciation. But to date, even though we think that is very visible on that yield and improving as we go forward, I haven't seen the comparison of the Street giving us the credit in our current share price.
Michael A. Glick - JPMorgan Securities LLC: Gotcha. Thank you for those comments.
Dan O. Dinges - Cabot Oil & Gas Corp.: Thanks, Michael.
Operator: The next question comes from David Deckelbaum of KeyBanc. Please go ahead.
David A. Deckelbaum - KeyBanc Capital Markets, Inc.: Morning, Dan and everyone.
Dan O. Dinges - Cabot Oil & Gas Corp.: Hey, David.
David A. Deckelbaum - KeyBanc Capital Markets, Inc.: Thanks for taking my questions.
Dan O. Dinges - Cabot Oil & Gas Corp.: You bet.
David A. Deckelbaum - KeyBanc Capital Markets, Inc.: Just looking at the program as a great multiyear outlook, it looks like approximately that you'll be filling the capacity so far that you've identified by about the fourth quarter of 2019. One, am I thinking about that correctly? And then two, I guess, as we think about filling visible capacity right now, you talked about being opportunistic. Do you view the communication today around the free cash at sort of $1 billion cumulative through the next three years as kind of the floor that you'd like to deliver to the market? And how do you square that with – once you start filling capacity and you witness potential improvements in local basis, how do you sort of blend the desire to deliver that free cash while also weighing potentially accelerating beyond the plan you laid out now?
Dan O. Dinges - Cabot Oil & Gas Corp.: I'll just make a comment, then I'll turn it over to Scott, let him make a comment, also. But on the capacity side, we are entirely comfortable with the production growth that we've indicated. It is our plan, as we discussed in the past, David, to certainly fill the new infrastructure with some of the existing gas that we're producing today and also have incremental volumes that go into filling the Atlantic Sunrise and those two power plants. We do expect the uplift that you've referenced in the differential on the existing pipes. However, if in fact the area rationalization by other operators out there would move into the space and try to backfill where Cabot has moved gas off of those three pipes and on to new – into new markets, if there's backfilling and rationalization by the – or the lack of rationalization by other operators out there, then Cabot is not going to give up a great deal of its market share. We will be there and us being the lowest-cost producer up there, we will certainly protect our market share. I'll turn comment over to Scott also.
Scott C. Schroeder - Cabot Oil & Gas Corp.: David, the thing I would add is on your first comment. As we laid out in the text and in the press release, we have kind of a dual track going on for the Marcellus program, based on market conditions. You are factually correct in one of those scenarios that we could fill that new capacity by the end of the decade, end of December kind of 2019. The other bookend on that is kind of the end of December 2020. That's kind of the bookend timeframe that we're looking at in this plan that we laid out with the cash flow and things like that.
David A. Deckelbaum - KeyBanc Capital Markets, Inc.: Thanks, Scott. And then I guess, looking at the program right now, you have Eagle Ford volume growing with a pretty minimal amount of capital. It sounds like you've seen some improvements there on the operational side, maybe on the completion side as well. How do you view that asset now as a source of funds versus a development opportunity? And I guess, thinking about the life cycle of that asset, are we closer to perhaps pruning that now and looking at it as a source of funds or is that something that's years away?
Dan O. Dinges - Cabot Oil & Gas Corp.: Well, we've always looked at the Eagle Ford as a good alternative to allocating some of our capital. And we continue to improve our efficiencies and our completion results out there in the field. When you look at, though, the impact of the Eagle Ford on Cabot, as far as it being a use of proceeds, we don't look at that as a large use of proceeds with our plan of allocating the capital to the Marcellus, also with our plan of giving money back to the shareholder, and we do anticipate that with success in our two exploratory areas, that the Eagle Ford is – that fits into our capital allocation today. But if it does not rank within our hierarchy of where we like to allocate capital in the future, then the Eagle Ford, as we have said in the past, is an asset that we would look at to help fund our new ventures.
David A. Deckelbaum - KeyBanc Capital Markets, Inc.: Thanks for color, Dan, Scott, and everyone. Appreciate it.
Dan O. Dinges - Cabot Oil & Gas Corp.: Thanks, David.
Operator: The next question comes from Charles Meade of Johnson Rice. Please go ahead.
Charles A. Meade - Johnson Rice & Co. LLC: Good morning, Dan, to you and your whole team there.
Dan O. Dinges - Cabot Oil & Gas Corp.: Hey, Charles. How are you?
Charles A. Meade - Johnson Rice & Co. LLC: I'm doing well, thank you. I wanted to shift gears, perhaps, to the short-term and just touch on that. I know you spoke earlier about what's going on with local basis and about how it's not uncommon in 3Q, and we certainly see that with historical results that 3Q as the widest basis, but can you talk a bit about what dynamics you're seeing this year that may be different from years past? And do that with an eye of what we should expect for November and December?
Dan O. Dinges - Cabot Oil & Gas Corp.: Okay. I'll just make a brief comment and turn over to Jeff to comment on the market. What we've seen has been fairly consistent with what we've seen. Certainly, the timing of the disconnect, and we roll into this period of time, and what we've seen in the past certainly affects, Jeff, mitigation of some of the impact by us selling volumes through October on the summer months. So, Jeff, would you like to fill in some of the blanks?
Jeffrey W. Hutton - Cabot Oil & Gas Corp.: Yeah. Charles, there's a lot of similarities between this summer and last summer in terms of mild summers and low demand, storage being at pretty much the same levels, and a lot of gas on the market. I think one unique characteristic this year is probably more pipeline maintenance than we've seen in years past, or at least it seems to me they've been lasting longer and going later into the year. So, that's probably the only unique thing. If you look back this time last year or quarter-over-quarter, really there's only been about $0.06 difference in basis differential between the two quarters. So, that's pretty consistent. I'd say, on the cash side, where we've seen some very low prices in October as we get to the end of the injection season, we've actually had a pretty good year in cash market year-over-year. Year-to-date, I think cash is averaging about $2. This time last year, the same term, I think cash was around $1.45 for the year. So, we've seen some improvements. And a lot of that came from last winter, of course, but there's really not a lot of factors fundamental-wise that have changed.
Charles A. Meade - Johnson Rice & Co. LLC: That's helpful. Thank you, Jeff. And then just one quick follow-up, if I could, Dan. The Haynesville package that you mentioned, can you give us an idea of the scale of that, whether in maybe proceeds you're looking for or acreage, current production, that sort of thing?
Dan O. Dinges - Cabot Oil & Gas Corp.: Well, we have less than 10,000 acres out there. We have HBP most of the properties – well, all of it's HBP. We have a minimal, since we haven't allocated capital out there for an extended period of time, we have about $3 million a day is all we'd be taking off from us. So, just one of those areas that, similar to West Virginia, we like portions of the asset and the West Virginia low-decline asset was nice to have, but it wasn't that impactful to us. And the same with this set of assets that we're not allocating capital to it. There has been some really good improvements made on completions out in the Haynesville, but as far as our footprint out there and what it would mean to Cabot in our program is not that impactful. So, we think that would be an asset that would be in the hands of those that might be out there and so we're prepared to transact and we'll see what we get.
Charles A. Meade - Johnson Rice & Co. LLC: Thanks for the detail, Dan.
Dan O. Dinges - Cabot Oil & Gas Corp.: Thanks, Charles.
Operator: The next question comes from Drew Venker of Morgan Stanley. Please go ahead.
Drew E. Venker - Morgan Stanley & Co. LLC: Hi. Good morning, everyone.
Dan O. Dinges - Cabot Oil & Gas Corp.: Hello, Drew.
Drew E. Venker - Morgan Stanley & Co. LLC: Hi, Dan. I was hoping you could talk a little bit more about the exploration plays, and if you have success there, how you think about that in terms of funding. You said, in your prepared remarks, that they would be absent (30:35) any cash flow at the asset level, but how do you think about at the corporate level? Would you still be generating free cash flow? Or any more color you can provide on how you guys would progress with that program would be helpful.
Dan O. Dinges - Cabot Oil & Gas Corp.: Yeah. On the free cash flow, we do expect to generate – with the funding of our exploration effort, we do expect to generate free cash flow at the corporate level. When you look at our effort out there right now, we do have a drilling rig active on one of the areas, and we'll be moving to having a drilling rig on the other area. Characteristic of what we've done in the past on exploration plays, we're not going to comment on results at this point in time. Information that we have seen, we're encouraged to continue to move forward with collecting data and evaluating the area. And we have our fingers crossed and we're cautiously optimistic that we'll be able to demonstrate that the areas that we are focused in will compete for incremental capital. And we do fully intend to fund it and still, at the corporate level, be able to generate free cash flow.
Drew E. Venker - Morgan Stanley & Co. LLC: Okay. Thanks for that, Dan. And can you just remind us how much of the acreage in your exploration areas is held and how much activity you think you would need to run if you wanted to hold on an acreage?
Dan O. Dinges - Cabot Oil & Gas Corp.: Yeah, we have $75 million allocated for the exploration area in 2018. We have just a portion of our 2017 budget remaining that we had allocated and announced previously at the beginning of this year. That portion that we had identified at the beginning of this year was $125 million. We've spent the majority of that $125 million. We do expect to stay within that budget between now and year-end. And as I said, in 2018, we have $75 million that we've allocated to the two areas. We have a significant amount of acreage that we think would be impactful on Cabot if we have success.
Drew E. Venker - Morgan Stanley & Co. LLC: Is any of that held at this point, Dan?
Dan O. Dinges - Cabot Oil & Gas Corp.: Is it held?
Drew E. Venker - Morgan Stanley & Co. LLC: Yeah, is any of it held?
Dan O. Dinges - Cabot Oil & Gas Corp.: Under lease terms.
Drew E. Venker - Morgan Stanley & Co. LLC: Okay. Thanks, Dan.
Operator: The next question comes from Holly Stewart of Scotia Howard Weil. Please go ahead.
Holly Barrett Stewart - Scotia Howard Weil: Good morning, gentlemen.
Dan O. Dinges - Cabot Oil & Gas Corp.: Hello, Holly.
Holly Barrett Stewart - Scotia Howard Weil: Dan, you touched on both your thoughts on the Eagle Ford and then kind of the Haynesville. I'm curious if you could remind us of your ownership percentage in Atlantic Sunrise and maybe thoughts around what to do with that asset since we have shovels in the ground at this point.
Dan O. Dinges - Cabot Oil & Gas Corp.: Yes, I'll let Jeff cover that infrastructure.
Jeffrey W. Hutton - Cabot Oil & Gas Corp.: Yeah. So, Holly, Atlantic Sunrise is the name of the project, okay? It's actually an extension of Transco's Pipeline System. So, from a project perspective, in other words, for the new greenfield pipeline, our equity investment there is approximately $150 million.
Holly Barrett Stewart - Scotia Howard Weil: Okay. And Jeff, any comments on keeping that in the portfolio?
Jeffrey W. Hutton - Cabot Oil & Gas Corp.: Yeah, absolutely. Right now, we're keeping the equity investment in the project, but that's always a discussion item here at Cabot.
Dan O. Dinges - Cabot Oil & Gas Corp.: Holly, one of the things that we – the decision we made in having an equity piece to start out with as we wanted to be involved and be able to have a good understanding and seat at the table as we go through the permitting process, regulatory process, and a full understanding of any implications we have with delays, how we might be able to navigate the heightened enthusiasm by the activists to stop infrastructure. We just wanted to understand that process a little bit better, and so, that was the reason we're in the investment. It obviously is an offset to our investment with our ability to secure some of the transportation charge back to us as an equity owner. But as far as it being a holding that we feel like that we need to have forever, we're not compelled for that. It goes back to our decision about use of proceeds and what we might do at any particular time with those proceeds if we wanted to monetize.
Holly Barrett Stewart - Scotia Howard Weil: Sure. I'm sure it'd be an asset there'd be a lot of pipeline companies would like to have.
Dan O. Dinges - Cabot Oil & Gas Corp.: Yes, I agree.
Holly Barrett Stewart - Scotia Howard Weil: And then maybe just one for Scott, with the, call it, $0.5 billion of cash on the balance sheet, you got the maturity coming up in 2018. Any thoughts on how to proceed with that?
Scott C. Schroeder - Cabot Oil & Gas Corp.: Right now, Holly, we're looking at all options. Obviously, we could refinance it. We do believe we're real close to being kind of BBB, BBB-plus in the marketplace. We're not rated at this point in time, so we're internally having that discussion. But keep in mind, with the $500 million, the maturity is $300 million, we can always simply just pay it off because we have a completely undrawn $1.8 billion revolver. So, it doesn't hurt any of our efforts either way we go.
Holly Barrett Stewart - Scotia Howard Weil: Yeah. Great. Thanks, guys.
Dan O. Dinges - Cabot Oil & Gas Corp.: Thanks, Holly.
Operator: The next question comes from Jeffrey Campbell of Tuohy Brothers. Please go ahead.
Jeffrey L. Campbell - Tuohy Brothers Investment Research, Inc.: Good morning.
Dan O. Dinges - Cabot Oil & Gas Corp.: Hello, Jeffrey.
Jeffrey L. Campbell - Tuohy Brothers Investment Research, Inc.: We've had a lot of big picture questions. So, I'm going to ask a couple of more narrow ones. In the last quarter press release, you guys said that the fourth gen well completions were exceeding 4.4 Bcf for 1,000-foot lateral. In this press release, you said that the additional wells are supporting 4.4 Bcf of 1,000-feet lateral. Sounds a little bit more equivocal. I just wondered if I'm parsing the language too finely.
Dan O. Dinges - Cabot Oil & Gas Corp.: No, when we look at our production curves and we look at the modeling and the curve fits, Jeffrey, we like to see a longer term on the curve fits. And all we're saying with our statement is that everything we're seeing right now is consistent with our expectations. And if we do have improvements over and above that 4.4 Bcf fit – curve fit, we'll do what we've done in the past, and that is recognize that after we have more data and – in a longer term on the wells to be able to continue to support that. There was also a reference in one of the write-ups about our Gen 4 and Gen 5 and I'll take this time, if I could, Jeffrey, to just reference that. Our Gen 5 that we're trying to tweak out there is we have full expectations that we will equal and maybe, hopefully, exceed our production of 4.4 Bs per 1,000 foot of lateral with our Gen 5. And our comment was designed to indicate that we think we can maybe achieve that by our tweaking of the completion technique, but also maybe save a little bit of capital by how we're tweaking the completion technique without a compromise, whatsoever, to the production expectation that we have for Gen 5.
Jeffrey L. Campbell - Tuohy Brothers Investment Research, Inc.: Now, well, you just proved that amongst your many other talents that you're psychic, because that was exactly the next question I was going to ask was what was color on that. So, basically, what you're saying, just if I can paraphrase it, is that the fifth gen stuff that you're working on now should not show any degradation in production, but you're hoping to be able to cut some costs and, therefore, improve the returns?
Dan O. Dinges - Cabot Oil & Gas Corp.: Exactly right.
Jeffrey L. Campbell - Tuohy Brothers Investment Research, Inc.: Perfect. Thank you. I appreciate the color.
Dan O. Dinges - Cabot Oil & Gas Corp.: Thank you, Jeffrey.
Operator: The next question comes from Brian Singer of Goldman Sachs. Please go ahead.
Brian Singer - Goldman Sachs & Co. LLC: Thank you. Good morning.
Dan O. Dinges - Cabot Oil & Gas Corp.: Hello, Brian.
Brian Singer - Goldman Sachs & Co. LLC: To follow up on the topic of the fifth generation wells, can you add a little bit more color on what you're doing on the completion tweaks to lower the costs? And then on a more bigger picture basis on the comment that fifth generation is more – or at least so far is more about cost reduction in terms of the drivers of efficiency gains than necessarily greater EURs per 1,000 feet, do you think we're in the later innings of productivity gains in terms of well productivity in Marcellus?
Dan O. Dinges - Cabot Oil & Gas Corp.: Yeah. Good questions. On the last (40:34) comment, we've been asked that probably, so starting three or four years ago, and we continue to make – we, as an industry, continue to make strides to deliver improved results from our completion. So, we're going to continue to be able to try to improve our completions, and – excuse me, and in that regard, we in fact have a couple of beta tests going on right now for our Gen 6 completions. So, stand by on the results of that. When you look at the difference between Gen 4 and Gen 5, one of the changes we made is that Gen 4 has got tighter on the stage spacing. In Gen 5, we went wider – back wider again on the stage spacing, but we had improved or increased the clusters in the Gen 5 from the 4. Additionally, the fluid pumped in the Gen 4 is a little bit less than the fluid pumped in the Gen 5 to move the volumes that we are moving in the Gen 5. We are staying consistent with the amount of proppant per foot, but by widening the distance between stages, we are reducing the number of stages that we will have to pump and the drill-out time that we'll have on getting the well ready for completion. So, that's some of the tweaks – without the details, that's some of the tweaks that we have between Gen 4 and Gen 5.
Brian Singer - Goldman Sachs & Co. LLC: Great. Thank you. And then to follow up, back to the free cash flow you're planning for the next three years, can you talk a little bit about the range and risk around cash taxes? I think that $2.5 billion was a pre-tax number. And then, what your expectations are for the transportation – unit transportation costs and what we should expect to see when Atlantic Sunrise comes on?
Dan O. Dinges - Cabot Oil & Gas Corp.: Okay, and I'll turn it over to Scott first, Brian.
Scott C. Schroeder - Cabot Oil & Gas Corp.: Brian, I'll handle the cash taxes and Jeff will handle the transportation. But cash taxes in our guidance for 2018 we're looking at about a 15% cash tax burden, deferring 85%. That goes to 35% cash taxes, 65% deferred in 2019; and roughly 50%-50% in 2020. If you take that, based on that number, you're looking at about $400 million – $400 million to $500 million in actual cash taxes in our plan, based on our assumptions. So, $2.5 billion would still have close to a $2 billion handle on it, taking – you still have some corporate G&A and some financing, of course, to factor into that because we don't allocate that out, but you still have a very robust three-year free cash flow model.
Brian Singer - Goldman Sachs & Co. LLC: Great. Thanks. On the transportation side?
Jeffrey W. Hutton - Cabot Oil & Gas Corp.: Yeah, Brian, on the transportation, as we've talked about this in the past, the capacity we're taking on with Atlantic Sunrise will be released to our customers, and with that we'll see a revenue reduction instead of an expense increase. So, we're basically maintaining a flat transportation cost profile through this period.
Brian Singer - Goldman Sachs & Co. LLC: Thank you.
Operator: The next question comes from Michael Hall of Heikkinen Energy Advisors. Please go ahead.
Michael Anthony Hall - Heikkinen Energy Advisors LLC: Yeah. Thanks. I just want to follow on a little bit on the free cash flow. At the corporate level, kind of trying to make sure we're calibrating right. What would you say the drag is on free cash flow for other items outside of exploration at the corporate level for things like overhead? And you already hit on taxes – trying to zero in.
Scott C. Schroeder - Cabot Oil & Gas Corp.: Michael, the easiest way is just look at the guidance for G&A and financing costs.
Michael Anthony Hall - Heikkinen Energy Advisors LLC: And you've held those flat throughout the quarter?
Scott C. Schroeder - Cabot Oil & Gas Corp.: Held those flat, because we are not people-heavy in this organization.
Michael Anthony Hall - Heikkinen Energy Advisors LLC: Sure. Okay. And then when do you think you might be willing to announce some sort of more formalized plan around what the path towards redistributing more of the cash to shareholders would be? Is that something by midyear next year you think you could be willing to do, or what's the thought process on that currently?
Dan O. Dinges - Cabot Oil & Gas Corp.: Yeah, I think that would be a reasonable expectation, Michael, that as we get some clarity on a couple of our new initiatives that we have moving forward and then get our arms around how we would allocate cash to those areas. And also, if in fact we have a monetization in the mix, we would also have clarity on value created from that. So, I would think that would be a reasonable expectation.
Michael Anthony Hall - Heikkinen Energy Advisors LLC: Okay. Perfect. Appreciate it. Thanks, guys. Congrats.
Dan O. Dinges - Cabot Oil & Gas Corp.: Thanks, Michael.
Operator: The next question comes from Paul Grigel of Macquarie. Please go ahead.
Paul Grigel - Macquarie Capital (USA), Inc.: Hi. Good morning. You noted in today's release the double-digit corporate returns into 2018, and you've noted in recent presentations the increased focus on ROCE as a metric for using or for evaluating the business. Is there thoughts on making that more of an explicit goal for management, given the rather unique position you are in relative to peers?
Dan O. Dinges - Cabot Oil & Gas Corp.: Well, I'll let Scott answer that in a second. Just for a specific goal for management, we have always had financial goals as part of management's effort to achieve. And I think you can see by the results and the decision we make on how we allocate capital, how we handle our growth profile versus value creation and getting margins and returns as being our primary focus versus growth, Paul, we've always had return on capital employed as our metric that management looks at. I'll let Scott make a comment.
Scott C. Schroeder - Cabot Oil & Gas Corp.: Yeah. So, the short answer is yes. It is becoming a – as Dan said, it has been a focus. We have not worn it on our sleeves. As we've watched this industry and been around this industry, Dan's been through six cycles, I've been through five, as have many in this table, we've watched this. Obviously, the returns focus is gaining more momentum now, as it should, and we fully embrace that. The key thing now in terms of we know how we calculate it internally, we just don't want to – we want to make sure there's no unintended consequences if you roll out specifics. Because, as you know, we are – this industry is a master of kind of single-well economics and kind of cherry-picking, and that's not Cabot's culture, that's not Cabot's philosophy. So, while it is very in the forefront and was even a topic of conversation this past – earlier this week in our boardroom and will continue to be, as it has been in the past, it is trying to thread that needle on how best to communicate it.
Paul Grigel - Macquarie Capital (USA), Inc.: Perfect. Understand on that. And then, I guess, as a follow-up, given the plan you guys have laid out, what are the latest thoughts – and, Scott, it's probably for you – on using hedges, either basis or versus NYMEX moving forward into 2018 and beyond?
Dan O. Dinges - Cabot Oil & Gas Corp.: I'll make a comment, then I'll let Scott or Jeff weigh in. Paul, we like hedges as part of mitigation and add a level of consistency to our program. When we've had the lack of infrastructure in the basin, it has made it difficult to get any length to hedges because it's been so punitive – again, by the lack of transparency on infrastructure, it's been very punitive for us to be able to layer on hedges without upfront conceding to a very large differential. So, with that, it would be our expectation that with infrastructure, and now more clarity and a balancing of the market and not so much heavy-weighted gas-on-gas competition in the three pipes that we currently produce into, we would expect that market to become more available to us in a range that we would find acceptable.
Jeffrey W. Hutton - Cabot Oil & Gas Corp.: Yeah, Paul, and I'll just add a couple thoughts. One of the things that Atlantic Sunrise does for us is move our gas from a supply area to a market area. And the market area we're hitting with this gas is more stable, less volatile, also of course more hedgeable. So, you may see us step into the hedge market when opportunity allows us to take care of some of the volumes that are moving out of the supply area, as we get the projects done.
Paul Grigel - Macquarie Capital (USA), Inc.: Okay. That's good color. Thanks so much.
Dan O. Dinges - Cabot Oil & Gas Corp.: Thanks, Paul.
Operator: The next question comes from Biju Perincheril of Susquehanna. Please go ahead.
Biju Perincheril - Susquehanna Financial Group LLLP: Thanks. Good morning. Dan, I was wondering on the Gen 5 completions in the Marcellus if you could give us an idea of the magnitude of savings you are targeting, and also if there's something – the approach you're taking here is something that's transferable to the Eagle Ford?
Dan O. Dinges - Cabot Oil & Gas Corp.: We are, of course, gathering as we continue to get more completions with the Gen 5. We're hoping to get around and we have seen plus or minus 10% on the saving side with the Gen 5. And I think that would be a reasonable expectation, going forward. And what we do in the Eagle Ford and Marcellus – I have both guys at the table with me, Phil Stalnaker and Steve Lindeman, that are responsible for the operations in our two respective areas and they've been working with each other for, I don't know, 50 years, I think. But they communicate well on what their teams are doing to enhance efficiency. So, we do have cross polinization and data transfer to each group.
Biju Perincheril - Susquehanna Financial Group LLLP: Great. I mean, I'm sure you guys are having those conversations on how to apply this. I was wondering from those conversations, do you think Eagle Ford, from a geologic perspective, this could be a transferable technology?
Dan O. Dinges - Cabot Oil & Gas Corp.: Well, we have our own – it's hard to answer that, specifically. If you're asking that is the exact changes and exact spacing going from a Gen 4 in the Marcellus to a Gen 5 in the Marcellus, is that going to transfer to the Eagle Ford? And is the fluid pumped in a Gen 4 Marcellus to a Gen 5 Marcellus, is that the exact fluid that we pump going to transfer to the Eagle Ford? The answer to that is no. But the concept of being able to save money with the spacing changes in the Marcellus and the transfer of fluid pumped and the more clusters per stage by having a little wider spacing, we do take all of that in consideration in the tweaking that's going on in the Eagle Ford.
Biju Perincheril - Susquehanna Financial Group LLLP: Got it. That's helpful. And just to confirm the potential savings from Gen 5, none of those numbers are incorporated into the 2018, 2019 guidance you've provided, right?
Dan O. Dinges - Cabot Oil & Gas Corp.: We wanted to – we want to get the – we want to see the results before we do a lot of that incorporation.
Biju Perincheril - Susquehanna Financial Group LLLP: Got it. Thanks.
Dan O. Dinges - Cabot Oil & Gas Corp.: Yeah, you bet.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Dan Dinges for any closing remarks.
Dan O. Dinges - Cabot Oil & Gas Corp.: Thank you, Drew, and thank you all for the questions. I do firmly believe that Cabot is one of the most well-positioned company and somewhat unique in that we are already generating free cash flow positive results and our portfolio returns, I think, places us at the top of the class. So, appreciate the interest and we look forward to our call after the end of the year. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.